Operator: Good morning. My name is Hope and I will be your conference operator today. At this time, I would like to welcome everyone to the Perrigo Second Quarter 2017 Financial Results. After the speakers' remarks, there will be a question and answer session. Thank you. Mr. Brad Joseph, Vice President of Investor Relations and Corporate Communications, you may begin your conference.
Bradley Joseph - Perrigo Co. Plc: Thank you. Good morning, everyone, and welcome to Perrigo's second quarter 2017 earnings conference call. Hope you all had a chance to review the press release we issued earlier this morning. A copy of the release is available on our website, as is the slide presentation for this call. Leading today's call are John Hendrickson, Perrigo's Chief Executive Officer, and Ron Winowiecki, Perrigo's acting Chief Financial Officer. I would like to remind everyone that during this call, participants will make certain forward looking statements. Please refer to the important information for investors and shareholders and Safe Harbor language regarding these statements in our Press Release issued this morning. In addition, in the appendix for today's presentation we have provided reconciliations for all non-GAAP financial measures presented. Now I'd like to turn the call over to John Hendrickson.
John T. Hendrickson - Perrigo Co. Plc: Thank you, Brad, and welcome, everyone, to Perrigo's second quarter 2017 earnings call. On Slide 4 you can see the agenda that I will be covering today. I'm pleased to share with you Perrigo's strong second quarter performance and results, driven by sound execution of our differentiated business model and the reasons why we have raised our guidance today. Turning to Slide 5. You can see the margin trends in our businesses for the last 12 months. This is a direct result of our continued focus on operational excellence and being action oriented. These principles have driven our business results and fostered sustainable margin performance and consistent operating cash flow. Slide 5 shows the durability of our business model, which includes our consumer facing businesses that comprise approximately 80% of our net sales. In CHC Americas, adjusted operating margins remain strong at over 20% for six quarters in a row. Consumer acceptance of store brand products continues to increase. And our new product pipeline continues to deliver additional growth. In CHC International, our operating margin profile has increased from the low to mid-teens, as evidenced by this quarter's adjusted operating margin of approximately 15%. The team's concentration on our OTC portfolio, continued execution of product insourcing, and disciplined ROI based approach to advertising and promotion have resulted in the second consecutive quarter of meaningful year over year operating margin improvement. I remain excited about prospects for this business. In RX, the adjusted operating margin has consistently remained above 40% as a result of our differentiated extended topical strategy and a dynamic pricing environment. The RX team's focused execution drove sell through of higher margin products in the second quarter and improved the timing of new product launches, both of which helped the business achieve an adjusted operating margin of approximately 47%. Overall, our business remains well positioned to benefit from the fact that consumers and healthcare systems around the world continue to search for more affordable alternatives for their healthcare needs. Healthcare costs continue to be a focus around the globe. And Perrigo's ability to provide quality, affordable healthcare products makes us a key part of that healthcare cost solution. Turning to Slide 6. New products are the growth engine for Perrigo. As is our practice, we risk adjust all potential new product launches in our guidance. Given the earlier than anticipated launches, particularly within the RX business, we are now upgrading our 2017 new product guidance to greater than $225 million, up from our previous guidance of more than $200 million. We continue to expect to launch almost two products per week across all of our businesses, including the anticipated store brand launch of Nexium in the second half of this year. Turning to Slide 7. I'd like to provide some highlights on the quarter. Our focus on operational execution has produced several positive results across our businesses. As one, CHC Americas adjusted net sales grew 3% versus the prior year, and store brands again gained share versus national brands. Over the last 12 months CHC Americas adjusted net sales also grew approximately 3%, which is in line with our long term growth framework of 2% to 4%. Second, CHC International constant currency net sales grew a solid 4%, excluding the $39 million in the prior year from the exited unprofitable European distribution businesses. And third, the RX team executed extremely well and delivered solid results this quarter by leveraging our extended topical portfolio and driving our long-term strategy. Additionally, we continue to take actions to enhance the value for our owners, as we largely completed the cost improvement initiatives announced in February this year and remain on track to meet our run rate goal of greater than $130 million of savings by the middle of 2018. Second, with the completion of $2.2 billion of debt pay down in the second quarter, we have created greater optionality and flexibility to use our strengthened balance sheet, as evidenced by the repurchase of $58 million of shares in the second quarter. And three, this morning we announced the sale of our Israel API and Russian businesses. These transactions exemplify the strategy of simplifying our core offerings and focusing on long term value and profitability. These actions, along with this quarter's strong business performance and enhanced visibility for the remainder of the year, have led us to increase and raise our 2017 guidance, which Ron will cover in more detail. Ron?
Ron L. Winowiecki - Perrigo Co. Plc: Great. Thanks, John. Before walking through my detailed comments for each of our businesses, I would like to take a minute to reflect on our performance results for the quarter. I characterize our performance for the past three months as converting opportunities into bottom line results. Each of our businesses with a keen focus on execution, action, and capitalizing on opportunities turned in strong performance results for the quarter. Now let's turn to Slide 9, where you can see our GAAP reported results for the second quarter. Let me walk you through the primary adjustments, which are included in the appendix of this presentation, that reconcile our GAAP financial statements to our adjusted performance results. Adjusted non-GAAP results exclude $135 million of debt extinguishment fees related to our debt pay down strategy that was executed the second quarter, $89 million of non-cash amortization expense, $39 million related to the fair market value adjustment on the contingent consideration payments for Tysabri, and $27 million of impairment charges primarily related to certain definite live intangible assets in our RX segment. GAAP tax expense as a percent of pre-tax income was 0.5% in the quarter, compared to a non-GAAP effective tax rate of 20.9%. The difference primarily is due to the tax effect of the non-GAAP pre-tax adjustments and the effect of deferred tax assets and liabilities consistent with the adjusted pre-tax income. Now, I will discuss the strong performance results for each of our segments. Turning to CHC Americas results on Slide 10, you can see that segment net sales in the quarter were $605 million, compared to adjusted net sales of $588 million in the prior year, an increase of 3% year over year on a constant currency basis. This increase was primarily driven by higher sales in the smoking cessation and dermatologic categories and stronger performance in our Mexico business compared to the prior year. New product sales in the quarter were $13 million, primarily driven by the store brand launch of Flonase, which annualized during the quarter, in addition to the launch of new nicotine replacement gum products. Offsetting these benefits were lower sales primarily in the animal health, analgesics, and cough/cold categories compared to the prior year. Including the 3% net sales growth this quarter, CHC Americas has now realized a 3% net sales growth over the last 12 months, which is directly within our long term growth framework of 2% to 4%. The fundamentals in that business remain strong, led by our team's focus on new products, customer channel opportunities, and increase in consumer acceptance of store brand products. For the quarter adjusted gross margin was 35.7%. As a reminder, last year this segment realized record adjusted gross margin due to the sell through of higher margin products. Current year adjusted gross margin includes the effect of year-over-year price erosion in certain categories, partially offset by positive contributions from supply chain and manufacturing efficiencies. CHC Americas adjusted operating margin was 20% for the sixth consecutive quarter in a row, illustrating the durability of this business. Turning now to Slide 11, you can see that net sales in the CHC International segment were $377 million. Net sales grew approximately 4%, excluding $39 million from the exited European distribution businesses and unfavorable foreign currency movement of $16 million. This increase was led by new product sales of $19 million and higher net sales in the allergy, analgesic, and cough/cold categories. The CHCI team delivered strong sales during the relatively higher cold, cough, and allergy season compared to the prior year. Adjusted gross margin in the quarter was 51.7%, a 230 basis point improvement over the prior year, primarily due to the cancellation of the distribution businesses. The segment also benefited from our strategy to insource more production of our branded OTC products. Offsetting these benefits were unfavorable effects from currency movements and lower margin in our UK store brand business. Adjusted operating margin of 14.6% was driven primarily by gross margin flow through, combined with the benefits realized from our cost optimization program. Year-over-year adjusted operating margin improvement included higher advertising and promotional expenses as a percentage of net sales. Overall, the CHC International segment realized strong performance in the quarter, as the team continued to actively integrate sales strategies with promotional programs, which are yielding positive results, as evidenced by the net sales growth in the quarter and the upward shift in adjusted operating margin to the low to mid-teens. Turning now to RX on Slide 12, excluding the $26 million year-over-year impact of Entocort, net sales in this segment were lowered by approximately 4%. Sales volume growth in the quarter of 4% and new product sales of $6 million, driven by the launch of three new products late in the quarter, were offset by price erosion, which was in line with our expectations. Adjusted gross margin was 58.8% or 200 basis points higher than in prior year, as a favorable product mix and a reduced level of floor stock adjustments compared to the prior year offset the effect of Entocort competition and year-over-year price erosion. Adjusted operating margin for the segment was 46.5%, 370 basis points higher than the same quarter last year, primarily due to the strong gross margin performance in the quarter, the restructuring of the specialty pharma sales force, and timing of R&D investments. Perhaps most impressive, adjusted operating income grew by 21% or $19 million excluding the effect of Entocort. The benefits of our diversified extended topical portfolio were realized this quarter with the sell through of higher margin products, yet again another example of converting opportunities to bottom line results. This was a great quarter for the RX team. Now turning to Slide 13, I'll provide an update on our balance sheet. As of July 1, 2017, total cash on the balance sheet was $761 million and total debt outstanding of approximately $3.7 billion. This reflects the actions we took to significantly strengthen our balance sheet during the quarter by successfully executing on our debt pay down strategy, utilizing the proceeds from the sale of Tysabri. In total year to date, we have reduced debt by approximately $2.2 billion or nearly 40% of our total debt outstanding at the beginning of the year. Further, as discussed in our previous calls, we intend to repay approximately $370 million of our remaining 2017 maturities from operating cash flow or cash on our balance sheet. These combined actions result in an estimated total debt pay down of $2.6 billion by the end of the year. In addition, actions taken during 2017 have reduced our debt maturities over the next several years. The total remaining debt maturities for 2018, 2019 and 2020 are approximately $500 million. Our debt pay down actions have increased our financial flexibility, enabling the majority of future free cash flows to be available for strategic purposes and/or returning capital to shareholders. Our financial policy of operating within an investment grade credit profile remains steadfast. Within this framework, we will deploy a disciplined balanced capital allocation strategy to drive total shareholder returns. In the second quarter, we completed $58 million of share repurchases and we will continue to evaluate market dynamics against the fundamental value of Perrigo relative to other investment choices. In short, our capital allocation decisions are always focused on total shareholder returns within the context of our investment grade financial policy. Turning now to operating cash flow, in the first six months of the year we generated $285 million of cash from operations. As a reminder, the $285 million includes two unique items totaling $105 million, an unusual tax payment for $74 million and cash restructuring payments of approximately $31 million. Our team continues to focus on cash flow generation, and we expect the strength of our business model to convert 100% of adjusted net income to cash. Operating cash flow conversion as a percentage to adjusted net income for the first half of the year was 120% excluding these two unique items. Shifting now to discuss the remainder of 2017, on Slide 14 you can see the bridge that walks our adjusted EPS guidance, provided on May 23, to the increase in adjusted EPS guidance provided this morning. There are three primary drivers of this raise in guidance that I would like to discuss. First, given our strong execution across our segments in the second quarter, we are raising our 2017 adjusted EPS guidance by approximately $0.20 per share. Specifically, within RX, performance of new product launches are expected to exceed our previous forecast. And as John previously mentioned, we have updated our new product guidance by approximately $25 million. Within CHCI, due to the strong execution in the second quarter and favorable currency movements compared to the forecast provided May 23, we are increasing our sales forecast in this segment by $50 million. Second, we are already benefiting from our strategy of strengthening our balance sheet. Our forecasted 2017 interest expense is approximately 25% below the prior year. And we used our strong cash flow position to repurchase $58 million or approximately 812,000 shares in the quarter, which represents a benefit of approximately $0.03 per share in 2017. These completed share repurchases are reflected in our 2017 share count guidance of 143 million shares. And third, this morning we announced the sale of the Israeli API and CHCI Russia businesses. Our portfolio review process led us to the conclusion that these businesses will better thrive under new management that will dedicate the resources needed to grow their platforms. We expect to close the API transaction in the second half of 2017. Consistent with our historical practices, we are removing forecasted second half adjusted operating income of $10 million, or $0.05 per share, from our guidance. As a result of these combined factors, we are raising our 2017 adjusted EPS guidance to $4.45 to $4.70 per share, a $0.25 midpoint improvement from the previous range. Our continued emphasis on operational excellence, actions to focus and simplify our business model, building balance sheet flexibility, and driving our new product pipeline continue to strengthen our performance outlook. On Slide 15, you can see our 2017 segment guidance, which has been updated to reflect our stronger than expected first half performance across all of our segments. Walking down the slide, you can see that in CHC Americas, we continue to expect approximately $2.4 billion in net sales and adjusted operating margin in the low 20% range. In CHC International, we have increased our expected net sales guidance by approximately $50 million to approximately $1.45 billion due to the execution of our forecasted sales strategies combined with favorable currency movements compared to our previous guidance. We continue to expect an adjusted operating margin in the low to mid-teens for this segment. In RX, we have increased our expected net sales guidance to approximately $950 million due to earlier than expected launch of new products. Strong second quarter performance has led us to increase our adjusted operating margin expectations from the high 30% range to slightly greater than 40% for the year. I would like to provide a few modeling assumptions for the second half of the year. As a reminder, in CHC Americas we are including the store brand launch of Nexium in the second half of 2017. Our CHC International segment delivered stronger than expected net sales in the first half of 2017, primarily due to relatively stronger cough/cold allergy season. Other than the effects of foreign currency movement, our second half sales forecast for this segment is unchanged from our previous guidance. In the RX segment, as previously mentioned, second quarter R&D investments were lower due to the timing of clinical trial spending. In the first half of 2017, R&D in this segment as a percent of net sales averaged approximately 5%. In the second half of 2017, we expect R&D in this segment to increase to approximately 7% of net sales. Finally, in the RX segment, our year-over-year price erosion assumption remains at 9% to 11%. On Slide 16, you can see our consolidated 2017 guidance metrics updated to reflect the factors I just discussed. We've increased our full year net sales guidance range to approximately $4.7 billion to $4.85 billion, which reflects improved visibility within our business and, mathematically, a midpoint upgrade of approximately $75 million. Adjusted operating income guidance has been upgraded to $960 million to $1 billion to reflect the flow through of new product launches and operational improvements. As I stated earlier, our guidance now excludes approximately $10 million of adjusted operating income contribution from the Israel API business in the second half of 2017. Our interest expense guidance has been updated to reflect the added savings driven by the favorable execution of our recently completed tender. You can also see that our expected tax rate for the year has been updated to reflect an improvement of approximately 100 basis points. Regarding operational cash flow, as you likely recall, our original 2017 guidance back in February was to achieve greater than $550 million. On April 25 we increased this guidance to greater than $575 million. Consistent with our earnings guidance upgrade today, we have also increased our operating cash flow guidance to approximately $600 million. As a reminder, this number includes $74 million tax payment and total estimated cash restructuring payments of $60 million for year. When accounting for these two items, our 2017 operating cash flow conversion is forecasted to be over 100% to adjusted net income. Before turning the call back to John, I would like to congratulate the Perrigo team for the strong performance result. It's exciting to see the CHC Americas team deliver 3% LTM growth with sustained 20% adjusted operating margin. Our CHC International team has shifted the baseline in this business to low to mid-teens adjusted operating margin. And as mentioned, the RX team had a great quarter and continues to deliver our focused extended topical strategy, which led to results above our expectations. These fundamentals, combined with a strength balance sheet, build a foundation for Perrigo to drive our strategic growth initiatives and quality affordable healthcare. I will now turn the call back to John.
John T. Hendrickson - Perrigo Co. Plc: Thank you, Ron. As you can see on Slide 18, store brand growth continues to outpace national brand growth in almost every major category. This is really driven by continued consumer acceptance of store brand products and the launch of store brand products in categories where national brands previously held exclusive share. Over the past three months the growth of store brand is particularly prominent in the cough, cold, allergy, and sinus category, which is driven by store brand Fluticasone among other products. In addition, new products are continuing to drive growth in the smoking cessation categories. Let me touch briefly on e-commerce. The strength of our business model, the diversity of our product portfolio, and the ability to provide an end-to-end solution make us a natural partner in this important and growing channel. As an example of this, our investments in digital marketing and promotions create a more efficient medium to educate consumers on the benefit of store branded products. And I believe we are well positioned to take advantage of this channel, partnering with all of our customers. Turning to Slide 19, I remain excited about our CHC International business, as I have been over the last couple of years. We have now produced meaningful margin improvements over the past two quarters, as we continue to focus on our OTC branded portfolio. The team is continuing to invest in innovative new products and line extensions that will leverage our well-known brands and remain dedicated to ROI based advertising and promotion investments to drive our unique product portfolio. This segment is on a path to long term margin expansion, led by these growth initiatives, combined with our focus on operational improvement. On Slide 20, you can see our updated RX pipeline metrics. We are continuing to execute to manage this business for the long term. To date in 2017 we have launched five new products. And we expect our product pipeline to drive growth in this segment in 2018. Also on this slide you can see the market side of additional opportunities that remain for this business. The RX team is continuing to develop and bring to market difficult to manufacturer extended topical products across these categories. In closing, on Slide 21, we did perform well against our first half in 2017, with all segments outperforming our expectation. And the team remains focused on achieving our updated full year 2017 plan. We have set the foundation for a strong future. Our product pipeline, channel, and customer opportunities position us well for growth. Our cost savings initiatives have created a more efficient organization, allowing us to capture a greater contribution from every product that we launch. And our enhanced balance sheet flexibility create optionality for driving total shareholder returns. Before turning the call over for Q&A, I'd like to briefly comment on my pending retirement. I want to reiterate my confidence in the strength of Perrigo's unique business model and our leadership team. We have executed against the key initiatives and are better positioned for long term success. The board is working diligently in its search process to identify the next CEO. And I'm excited by the level of interest received from many high quality candidates. Given the ongoing search process, we will not plan to hold an Analyst Day until a new CEO is on boarded. In the meantime, Ron and I will remain fully committed and excited to continue our open dialogue with all of our investors. I'm very proud of all that we have done to focus our business over the last five quarters. We've made many tough decisions during this time, but I believe the actions we've taken will enhance our long term shareholder value for our investors, while providing quality affordable healthcare options for customers, consumers, and families across the globe. Thank you very much. Brad?
Bradley Joseph - Perrigo Co. Plc: Thanks, John. Operator, we'd now like to open the call for questions. We ask that all participants please limit yourself to one question only.
Operator: Your first question comes from the line of Annabel Samimy with Stifel.
Annabel Samimy - Stifel, Nicolaus & Co., Inc.: Hi. Thanks for taking my question. Congratulations on a good quarter.
John T. Hendrickson - Perrigo Co. Plc: Thank you.
Annabel Samimy - Stifel, Nicolaus & Co., Inc.: So now that things seem somewhat stable and you have – with the sale of Tysabri you have some good balance sheet flexibility, are you starting to consider some new strategic initiatives, some bolt-on acquisitions to bolster sustainability of growth in some of these franchises? And I guess that was my one question. Thanks.
John T. Hendrickson - Perrigo Co. Plc: Yeah, thank you, Annabel. Appreciate it. So I would say, yes, we feel like we've got – are in a good position with all of our businesses, operating on a good platform. And our balance sheet does give us that optionality. I think we are very open to enhancing those business platforms through bolt-on acquisitions, other parts that would enhance those businesses, as well as using our balance sheet for other ways of returning capital potentially to shareholders.
Annabel Samimy - Stifel, Nicolaus & Co., Inc.: I guess to that point, what areas do you think would be most suitable for that bolt-on? And what areas do you think still require some expansion, let's just say?
John T. Hendrickson - Perrigo Co. Plc: Yeah, so I think I feel very good about all of our business segments and the actions that we've taken I would say over the last year or so to make sure that we have a foundational solid structure under them. I think our CHC Americas business, our CHC International, and even specific products that might fit within our RX business are clearly fair game for bolt-on acquisitions.
Bradley Joseph - Perrigo Co. Plc: Great. Thank you very much, Annabel.
John T. Hendrickson - Perrigo Co. Plc: Thanks, Annabel.
Operator: Your next question comes from the line of Marc Goodman with UBS Investment (sic) [UBS Securities].
Marc Goodman - UBS Securities LLC: Yeah, I was hoping you could just come back to the overseas consumer business, which seems to just be turning much quicker than we would have thought. If you could just give us – talk about the top line a little bit? And where – I mean was there a lot of strength in any particular geographies? Were there new launches that did really well and that gives you the confidence that those new products are going to continue to do well throughout the year? Just give us a sense of what's going on there, because clearly it's turning quicker than we thought.
John T. Hendrickson - Perrigo Co. Plc: Yeah, and I'd say if I step back, Marc, we're still on what I consider to be a broader strategy of enhancing that business. So if I can step back a minute on you. It was sort of making sure that we had the right business structure. So we got out of some things that didn't make sense. We've spent a fair amount of time sort of massaging our portfolio to make sure it was the right value add. We started, back when, doing a number of things to enhance our margin profiles, insourcing products into our site from a global perspective. We still have a ways to go on those things. We've taken good action. We can see the results. But as I said on previously calls, this isn't a next three-month thing. This will continue to evolve over the next couple years as we continue to enhance the margin. I think the growth if you look at the quarter was a strong cost hold execution within those regions. There were a fair number of regions that did execute well against the products and provided strong growth. When we look forward, if I look into what continues to drive it, we continue to put the right advertising and promotion against those core categories and businesses for us and drive those, as opposed to peanut butter spreading our A&P. So the team is doing a good job of saying, these are key items to drive. How do we make sure that we're dedicating our investment dollars against those key return areas? And that has paid dividends. Ron, do you have anything else to add to that some?
Ron L. Winowiecki - Perrigo Co. Plc: No. No, it's very, very well said. And I don't really have much to add. I mean if you look at the models and guidance we've given to you, we had the 4% growth in Q2. You will see growth in the second half the year. I think you've seen those models that are out there. Hopefully you've seen that. But we are expecting the growth trend and momentum to continue against the base from last year. So we're pretty excited about the future of this business.
Bradley Joseph - Perrigo Co. Plc: Great. Thanks, Marc.
John T. Hendrickson - Perrigo Co. Plc: Thanks, Marc.
Operator: Your next question comes from the line of David Risinger with Morgan Stanley.
John T. Hendrickson - Perrigo Co. Plc: Morning, David.
David R. Risinger - Morgan Stanley & Co. LLC: Thank you. Good morning and congrats on the results. I just wanted to ask a high level question about the sustainability of operating margins in the U.S. consumer healthcare and the RX business. It seems like you're guiding for margins to expand in 2018 because of cost efficiency initiatives that will continue to benefit the margins. But since the two segments are close to all-time highs, how should we think about the sustainability of those margins longer term, as more competitors compete in those areas? And then I know that you asked for only one question. But could you just comment on the second half guidance? When we subtract the beat, the second half guidance is in line with consensus. If you could just comment on that. Thanks.
John T. Hendrickson - Perrigo Co. Plc: Great. Thanks, David. And like all good people, you kind of carved those questions together, so I thought that was good. Let me kind of take them separately. So first of all, on the sort of how do we think about sustainability of margins and those kinds of things. I would say it is driven by a few different things. In both the consumer side as well as the RX side within the U.S., one is you got to keep launching products. Right? You got to keep the pipeline fruition, you've got to keep adding, especially on the consumer side, new line extensions. It is a business that needs to you feed it and continue to grow that. And that is part of the margin sustainability platform. The costs do play in there. We need to continue to be one of the best, most cost efficient players out there, so that we can make sure that those all flow to the bottom and drive that. In both businesses, even in the model we laid out for our consumer side as well as RX, we have planned in price erosion. So if you said – if you look at the back half of the year or continue for the whole year in RX to talk about 9% to 11% core business erosion, we still have price erosion in the consumer side, as we laid out in our 2% to 4% normal guidance. That means our volume is growing faster than that in consumer, but some of it does get offset by that. So we've included in what we think is a competitive environment and a competitive pricing environment. At the same time between new products, between share gain, between launching our cost efficiencies, we feel we can continue to grow over and above what we're seeing from a pricing competitive standpoint. Ron, do you want to take the second half question?
Ron L. Winowiecki - Perrigo Co. Plc: Yeah. Yeah, it's a tough question, John. So when we started the year, you go all the way back to February now, one of the things we communicated was the back end plans. If you can look at the modeling construction. And we were kind of guiding to – we didn't give quarterly guidance, but we said, clearly, it's going to be a lower first half versus second half. So what the scene that's now kind of moved forward is we've taken advantage with the strategies we've put in place. Again, John talk through those very well. Our diversified portfolio pulled through great margin products in Q2, and we've capitalized on that. John talked about aligning sales strategies with promotional activities in CHCI. The reason we capitalized on things like the strong cough cold season in Q2 and even Q1 is because of those foundations that were set. So if you look at model now, to your point, we're more balanced. That's great. So we've derisked, I'll call it, the year. We've upgraded guidance. But we're sitting now about, let's call it, 49% H1 at an EPS level if you use the midpoint as the kind of balance for our framework, 51% then H2. So we're excited, yet we're also pragmatic. Right? We want to make sure we're prudent in our approach going forward. If you look at the business segments and let's think about what are you seeing in the lens of the H2 kind of model? So first of all, CHC Americas are seeing clear growth, clear operating leverage. Why? Nexium, right? So we have a great new product. Launch is coming through in H2. In RX we tried to make sure we're very open about what's happening in RX. You have again pricing. We're still modeling that 9% to 11%, so pragmatic. We kind of call it the unknown's unknowns. We're trying to make sure we take a risk based approach. I think that seems to work right. For the last four quarters we've kind of met our expectations on pricing. R&D has shifted a little bit. We had some clinical trials. So if you model out, you're going to see again around 5% of R&D percent to net sales in RX in the first half, 7% in the second half. So you've got some margin. Obviously lower margins because of that in H2. But when you look at the RX volume in H2, it's strong. So take a look at that as you model out your performance. And H1, listen – or CHC, listen, again as I commented earlier, that 4% growth you saw in Q2, you look at the models. We may not have changed guidance, but you'll still see that 4% growth in H2. So that carries – that momentum carries into the year. But we're not changing the modeling guidance, because we're sticking on that 4% OTC growth, excluding things like currency and the distribution businesses. So through that lens, again, very excited about H2, but also pragmatic in how we're trying to look at the business in the second half of the year.
Bradley Joseph - Perrigo Co. Plc: Great. Thanks, David.
John T. Hendrickson - Perrigo Co. Plc: Thanks, David.
David R. Risinger - Morgan Stanley & Co. LLC: Thank you.
Operator: Your next question comes from the line of Jami Rubin with Goldman Sachs.
John T. Hendrickson - Perrigo Co. Plc: Hi, Jami.
Candace Richardson - Goldman Sachs & Co. LLC: Hi, this is Candace Richardson on behalf of Jami Rubin. Given data points across the industry call for further worsening of generic margins and competitors with similar dermatology portfolios are seeing worsening results, can you just speak to how confident you are that you can sustain operating margins in the 40% range? And then, related to that, many of your peers are also expecting accelerating price erosion going forward. Can you speak to why you're confident you still see stable erosion for the rest of the year? What differentiates your portfolio? Thank you.
John T. Hendrickson - Perrigo Co. Plc: Yeah, thank you. I will give my perspective; also, going to ask Ron to jump in on this, also. I think we had to look very hard at our process. If I go back six quarters ago, five quarters ago, very hard in our process of what we were looking at from a pricing standpoint, how we went through our process. Many of you remember those calls where we talked about deep dive into what we know, what we think we know, and then what we don't know and how we balance all of those things. And I will say that over that period, we gained confidence in our process as far as how we work through those and what we know. And so, we feel like the last four quarters or so, we've been able to be in the ballpark of predicting what we thought we would see. And our models have proved out. It doesn't mean we know every piece, because we do plug in some unknown variability. But using that process, using our broader looks with our portfolio seems to be playing out and giving us some decent visibility into what's there. So look, I don't – 9% to 11% is still a big price erosion on base. So we are not forecasting that it's going to get any easier at this point. We're saying there's still a big number in there. We feel good about our process of doing it, and we feel good about our new product pipeline, getting those launched now and what we see going forward to offset that. Ron, you have anything to add to that?
Ron L. Winowiecki - Perrigo Co. Plc: Yeah, the only thing I'd add to support it is kind of – is our diversified portfolio. And we talked about this a great deal, and we want to keep that. Where we think we are different is we don't have any product greater than 5% of any – of the sales distribution within RX. I mean, let's talk case studies. I think that's the best way to think about it. And we have a product family that requires nine clinicals to attack that product. And each of those clinicals are topical, each of those clinicals are expensive, and each of the manufacturing value streams are complicated. So look, not every product ends up seeing competitive landscape. But that's an example of where we can pull those products through. And John and his team did a great job in Q2. And this is an example of a product that sold through in Q2 with higher margins. We benefit from that. We bring that to the bottom line. So again, you can look at our portfolio against others. Listen, obviously we're subject to the same competitive environment as anybody else, but that diversification is something that we think we benefit from. It's a good part of our extended topical strategy and why we can hold those margins within a tight, tight zone as we look at it at this point.
John T. Hendrickson - Perrigo Co. Plc: Thanks, Ron.
Bradley Joseph - Perrigo Co. Plc: Thank you.
Candace Richardson - Goldman Sachs & Co. LLC: Thank you.
Operator: Your next question comes from the line of Louise Chen with Cantor Fitzgerald
Louise Chen - Cantor Fitzgerald Securities: Hi. Thanks for taking my question. So the question I had here is how should we think about sales growth and margins for your store brand business over the longer term? Is there still meaningful growth left here for this business? And then, also, in terms of the pipeline, are there any RX OTC switches or larger products that you would highlight? Thank you.
John T. Hendrickson - Perrigo Co. Plc: Yeah, thanks, Louise. So I would stay with the same framework that I tried to give over the last couple quarters of how I think about it. And it hasn't changed. And frankly, it's come to – been reinforced, I think, by what we've been saying; which is, look, I believe our U.S. business – our U.S. consumer healthcare business can grow through a number of avenues. One is we have the acceptance of store brands. While we thought we hit a – you may have thought we hit a cliff, continues to grow. So if you look at it, we continue to gain share in categories, store brand, consumer (40:38) a lot of good value. We understand the difference, now. I believe that kind of growth can continue. I believe bringing new products to market that we haven't been able to be in, the line extensions, all of those things that we do add growth to that. And frankly, the overall market had some growth. And so, as I think of CHC Americas, we laid out a framework of in that 2% to 4%. It's higher than that from a volume standpoint, but we did add in some pricing to make sure to get to that 2% to 4%. In my mind, that's 1.5 times to 2 times market growth in the U.S. And I think that's the – what we should be held accountable for, frankly. That we should be able to grow this business at those kind of rates over the long run. Consumer healthcare international, we had a couple of things going on. One was making sure that our infrastructure was right to support the growth of the business, that we had the right portfolio, that we had the right, I'll call it, cost of goods as well as operating expenses. We're still on that path, but making progress. And then, I said the businesses, the brands we have, our ability to leverage those should have growth. In our mind, even in that segment, given the challenges we have, we should able to grow that at 1.5 times the market growth in those Europe countries. So without giving an exact number, I believe with the portfolio and the actions we're taking, we should be a faster grower within those segments than the markets that we compete in.
Louise Chen - Cantor Fitzgerald Securities: And then, just on Nexium, can you comment whether or not you've included an additional competitor in your guidance for this year for that product?
John T. Hendrickson - Perrigo Co. Plc: Yeah. So I would say we've guided in the back half of the year for that. We do, in our kind of guidance, don't have us being alone in that when we think about the guidance in there. So it's risk adjusted, as we always do with new products, but we are not planning on being alone in that Nexium market.
Bradley Joseph - Perrigo Co. Plc: Great. Thanks, Louise. Appreciate it.
Operator: Your next question comes from the line of Chris Schott with JPMorgan.
Christopher Schott - JPMorgan Securities LLC: All right. Great, thanks very much. Just a two part question on the RX business. First, just on these 2Q margins, I know you touched on some of these issues. But just to help us understand a little bit more about this strong margin performance, if we look at about a 500 basis point bump from 1Q to 2Q. Sounds like there wasn't a huge amount of new product flow necessarily in this quarter, as launches were late. I know R&D timing was light. And I'm just trying to understand a little bit more how we saw this type of sequential jump in margins. And then the second question was on the same RX theme. I know you're still looking for down 9% to 11% the second half of this year. Any just preliminary looks as we think about 2018? Is that 9% to 11% a decent range to think about going forward? Or do you see a level of erosion starting to ease a bit as we start to think out to next year? Thank you.
John T. Hendrickson - Perrigo Co. Plc: Ron, why don't you cover the first part. And I'll give my perspective on the broader picture?
Ron L. Winowiecki - Perrigo Co. Plc: Yeah, I know this sounds like a too simplified answer, but it's factually, to your point, sequentially what happened in the business. It is strong margin pull through. And again you'll have different distribution of margins based on customer mix within a product group. And John and his team did a great job kind of looking at where can the product be positioned with customer A versus customer B, or channel A versus channel B. And really that's the story. There's not much more than really the business from the portfolio had opportunities with the strong margins. Of certain – again certain – a product that left competition, that pull through came through in Q2. You'll see in the modeling, we're not modeling 46% in Q3. So you'll see that we've normalized the portfolio from a margin standpoint going forward the second half of the year. And again it sounds simple, but it is that simple. Given diversified portfolio, the stratification of products that sold through were the higher margin products in the second quarter versus the sequential Q1.
John T. Hendrickson - Perrigo Co. Plc: Great. And I would say if you think about it, and we said this year as we looked at it, 9% to 11%, again we're continuing to stay with that and think that it falls within sort of the guidance we gave and what we're expecting. As I look forward, I do eventually expect the market to, I'll call it, more normalize. When I say normalize that still is a decline of kind of core, but in the 3% to 5% range if you look out a ways. Getting back to a more normalized space from what we've been experiencing. At the same token when I look at 2018 – and we know I'm not giving you guidance or anything, because we don't have any of those out there – I don't see it softening quite yet. I don't see it tailing away as you'd want to see if it was going to drop to 3% to 5% soon. So I think we're going to continue to experience a tough pricing environment at least going forward here for a little while. I think ultimately it has to balance back down to a more normalized number, because the whole industry won't sustain at these kind of levels.
Christopher Schott - JPMorgan Securities LLC: Great. Thanks very much.
Bradley Joseph - Perrigo Co. Plc: Thanks.
Operator: Your next question comes from the line of Elliot Wilbur with Raymond James.
Elliot Wilbur - Raymond James & Associates, Inc.: Thanks. Good morning.
John T. Hendrickson - Perrigo Co. Plc: Morning.
Elliot Wilbur - Raymond James & Associates, Inc.: It becomes a little bit more difficult to let go of the RX business if you keep performing like this. Going back to some of your earlier commentary on some of the specifics around price deflation, I guess those expectations aside. I mean clearly I think you've probably experienced heightened deflation earlier in the cycle than others, so maybe not so surprising that you continue to sort of maintain your expectation. But I guess where a lot of other companies have been surprised or at least claimed to have been surprised, it just relates to the evolution of these consortium purchasing dynamics. And while perhaps that may have not played out in price, certainly seems to have played out in fairly significant negative volume impact for a lot of the players in this space. So just kind of want to ask you a little bit – in a little bit more detail sort of how the evolution of these consortium dynamics has played out recently, particularly the Claris One. I'm not really sure, frankly, how important that combination is to your business historically. But just wondering if that's still something that is evolving and where you see potentially risk? Or you think we're sort of largely past that process with respect to your business? Thanks.
John T. Hendrickson - Perrigo Co. Plc: Yeah, thanks, Elliot. And I think what you said at the beginning of your question, I think is frankly, apropos of – we took a relatively big and strong look at this about a year ago. And we had to adjust our guidance way back then. We had to say, look, we're not at the same level. Here's where we're at based on what we see. And then going forward from there at a different process of saying where we're at. And so I do think we took a big adjustment. We just took it a year ago, if you will, when we said, hey, this business isn't where we think. Here's where it's at. And then here's what we see going forward. And I think we were prudent at the time in doing that. And the data has played out at least so far to what we expected and saw. When I talk about the 9% to 11%, without going into any agreement or anything specifically, as we look at it, that 9% to 11% in our minds includes those broader buying consortiums and new entrants into those, et cetera, includes that in that number.
Bradley Joseph - Perrigo Co. Plc: Thanks, Elliot.
Operator: Your next question comes from the line of Douglas Tsao with Barclays.
Douglas Tsao - Barclays Capital, Inc.: Hi. Good morning. Thanks for taking the questions. Just if you could maybe help us in terms of the consumer business, I think you noted some softer results from the cough cold category. Could you maybe provide some update on the competitive dynamics? I know over the last couple years you've been affected by the re-entry of a large national brand. Is that still playing through in a little bit of a headwind?
John T. Hendrickson - Perrigo Co. Plc: Yeah, Doug, thanks. Good question. I would say when it comes to those kind of things, where they had some other quality issues and things that kind of came back into the market, that is 95%, 98% through. I mean there's still some items out there that aren't stocked. I'm not sure if they're ever going to be stocked again, that there were – if that was one they discontinued. But it's mostly back out there, and they're operating on a more normalized plane from a national brand standpoint. There were other products that were launched from a ANDA switch standpoint or those kinds of things that were not in the market. We've gotten out there with Fluticasone. Nexium is probably the other one where when you look at the PPI category, it's been three years without having a store brand equivalent to Nexium. We have the other PPIs in our portfolio but not that. So that's one that's a decent type category that once we get out there at least we'll be sort of more fully represented on the shelves. So on the national brands coming back, I'd say they're towards the end of that re-entrance.
Douglas Tsao - Barclays Capital, Inc.: And then, just also in terms of the price erosion factor is that – in CHCA is that pretty much across the board? Or are there particular categories where competition has been a little bit – a little greater?
John T. Hendrickson - Perrigo Co. Plc: Yeah, thanks, Doug. I would say this shifts around. We have competitors across all the portfolio. I mean there's – again we've got great share as you know. Our broad portfolio, the way we attack it is kind of a full solution that we bring to grow share for retailers. All good things. We do have competitors kind of in a broad array of the products. And they will come and grow across those products. So again when we look at the framework, we said we expect volume growth, share growth, all those things to be higher. We've built in some amount of just price competition on base things and still get to that 3%, 4% kind of a growth number given that. So there is competition out there. There always has been. We think they're good competitors. So they're not – they're good competitors. We just have a broad solution that brings to it. So it's kind of included in that growth pull slide (51:02) we have.
Ron L. Winowiecki - Perrigo Co. Plc: And one of the things that...
Douglas Tsao - Barclays Capital, Inc.: I guess...
Ron L. Winowiecki - Perrigo Co. Plc: If I can add to that comment, you look at the margins of this business, it's sustained at 20%. When you think about it, when we talk about price erosion, so it's a multi-source business. We want our customers to participate in our value we create in our supply chaplain. We have one of the best supply chains in the world. Our productivity is very strong. So we're going to partner with our programs on those improvements, and therefore that's a win-win and a moat to keep competition out. So I don't want to think of – you shouldn't think of the pricing as always a bad thing. Price is a trade off with our partners to ensure we're participating in the productivity gains throughout our supply chains. That's a good thing, because it helps us keep competition out as well.
Bradley Joseph - Perrigo Co. Plc: Great, thanks for the questions, Doug.
Douglas Tsao - Barclays Capital, Inc.: Thanks.
Operator: Your next question comes from the line of David Maris with Wells Fargo.
Patrick Trucchio - Wells Fargo Securities LLC: Hey, good morning. This is Patrick Trucchio on actually for David Maris. My question is on the CHCI business. Has the margin turnaround been driven primarily by the culling of unprofitable SKUs and mix benefit from new products? Or are you also realizing some benefits from the restructuring? And can you update us on the progress of the restructuring? And how we should be thinking about savings driven from it in the second half and in 2018? Thank you.
John T. Hendrickson - Perrigo Co. Plc: Yeah, so thanks, Patrick, and I appreciate you joining us. I would say in general when you think about the margins broadly as opposed to what happened in a month or what happened there, it really does come from the three kind of things that we talk about. There were unprofitable items, low growth, looked good on the sales line but did nothing. So that we've been moved out of that helped. Right? It kind of got rid of some of the dead wood. Frankly, what that also does, if you think about my mantra has been, once you simplify, it creates a focus and creates better execution. And so by doing that, you didn't have the noise out there. And people were able to execute better, be more cost efficient, drive those. All of those are in there. Your – the A&P dollars get more focused on driving that core, those kind of things. And the third one is the insourcing and restructuring. We've certainly restructured sales forces in some countries where we thought it was right. We also had the insourcing of products. And so all of those were part of that continued margin improvement. As we go forward, there's still insourcing to go. So we're on the path, but it takes a while. You've got contracts, you got approvals, you got all those things. When we laid it out, that was originally from the acquisition time a three- or four-year process. We're a couple years in, but it still is a couple more years to get that full to fruition. And then we also have work to do still on our – what I'll call our operating structure. So our operating expense structure, sales force, finance, IT, those kind of things, that operating structure that enabled the business. We're making progress there. But we still have a fair amount of ways to go on that part of the cost and efficiency and focus initiatives. And again I think by creating that simplified operating structure, simplified focus, it does deliver efficiencies over and above what just the math would say, because you're doing that. So on the cost side we're still progressing down that path. I won't say we're early on, but we still have a ways to go on those parts to make sure that we have the right cost structure that continues to drop more to the bottom line. And that's why I talked about a – this isn't a next month they're going to be through the roof. It is a couple more years from now to get to those mid to upper teens where we expect to operate.
Bradley Joseph - Perrigo Co. Plc: Great. Thanks, Patrick.
Operator: Your next question comes from the line of Gregg Gilbert with Deutsche Bank.
John T. Hendrickson - Perrigo Co. Plc: Morning, Gregg.
Unknown Speaker: Hi there, this is – morning. This is (55:05) for Gregg Gilbert. I wanted to ask you if you can maybe talk about your priorities among the various shareholder return levers, dividends, repurchases, versus BD?
John T. Hendrickson - Perrigo Co. Plc: Yeah, so I'm not going to give you that one goes from the other, because as we think about strategic alternatives and different decisions at a board level, all of those are certainly on the table. I do think the add-on, bolt-on acquisitions, when we find those good value products we can quickly turn those into good returns. So we continue to look for those kind of opportunities. In this last quarter I was very excited and happy to buy our stock at the price we did. I think it was a great value, so was happy to do that and use some of our cash that we've generated off our balance sheet, off some of these business dispositions to do that. I think it was a great time to do it. But I can't – we will continue to look at dividend policies, stock buyback, other ways of returning it in addition to those. And I don't want to prioritize them aside from saying as we find inorganic things, we want to make sure we jump on those, especially that bolt into our – what I think is a very solid infrastructure.
Unknown Speaker: Thank you.
Bradley Joseph - Perrigo Co. Plc: Thank you.
Operator: Your next question comes from the line of Tim Chiang with BTIG.
Timothy Chiang - BTIG LLC: Hi, thanks. A surprisingly good quarter for you guys, so congrats on that. John, I wanted to sort of ask you, one question is just the timing of your retirement. Certainly, it seems like a lot of the labor and time and energy that you've put into sort of stabilizing the business is starting to pay off. Is there any way the board could convince you to stay at the company? Or is this really – this is it for you?
John T. Hendrickson - Perrigo Co. Plc: Yeah, thanks for the question. And I do appreciate the comment. First of all, I would like to say I think if you go back to the last four quarters – and this isn't me. This is the business leaders, the company. We have said what we were going to do. We did it. We delivered on the results. We've kind of had that mantra of, hey, we're going to not over-promise. We're going to say what we're going to do. We're going to do that and move on. I think the team has done a great job over that, given all the noise, to make sure that we delivered. So I'm very proud of them for that. From my standpoint, there's a personal part of this that I've had some family situations to deal with. And it's just time for me to step away for a while to be a little bit more present with my family, given some of the personal circumstances that we've gone through over the last six to eight months, here.
Timothy Chiang - BTIG LLC: Thank you.
John T. Hendrickson - Perrigo Co. Plc: But thank you for your sentiment. I appreciate it.
Timothy Chiang - BTIG LLC: Yeah.
Operator: Your next question comes from the line of David Steinberg with Jefferies.
David Michael Steinberg - Jefferies LLC: Thanks and good morning. Wanted to ask about Nexium. Wondering if you could more size up that opportunity for us? And more specifically, when you launched Prilosec a couple years ago, it became one of your biggest products. And do you think Nexium will reach similar size to Prilosec? And then, just looking at your product categories from a broader perspective, historically the company's done a great job in extracting multiple opportunities from a therapeutic class. So allergy, sort of been played out, Zyrtec and Allegra and Claritin. Now with Nexium, I believe it's your last PTI that you can launch from that class. And you recently launched some of the nasal corticosteroids. But as we look out medium term for big opportunities, what are the therapeutic classes that you think will go RX to OTC and be able to hit your P&L in the next few years to make meaningful impact? Thanks.
John T. Hendrickson - Perrigo Co. Plc: No, thanks, appreciate the question. So can't give you an exact opportunity for Nexium, because there's – it's the last of the PPIs, really, if you want to think about it that are out there and doing it. The way I typically think about the store brand market with a product like this is national brand – and Brad will probably correct me – is $350 million (59:29) or so, is the national brands at this stage; somewhere in that ballpark. That usually means a store brand at our sell price kind of opportunity in some ways is $70 million (59:40). So, that's a one player. You get a couple players in there, you get two or three, it carves up at some percent. But that's sort of the size of the opportunity in our minds. I will say from Perrigo's standpoint, we do a solid job because we have such a broad portfolio of cross merchandising driving, driving retailer share, doing a fair amount to make sure that we capitalize on those sales, that we let the retailers capitalize and the consumers benefit. So that's one of the broader offerings we bring. So it's that kind of a size and opportunity, if you will, when you think about the Nexium store brand version. RX-OTC switches, there's a – in my mind, the talk that's going on on the RX pricing, you think about that, you think about the talk that's going on in government about, boy, we're paying too much here, all of those things, it's created this stir in the RX side, which we deal with and we talk about. It also creates an impetus to say, how do we manage that cost? You bring products over the counter. And so, it really gets the FDA starting to think not just about getting products approved for an RX market, but also which categories make sense to switch? How do we put these in consumer choice versus government or private pay? What do we need to do? And so, I think that sentiment does play into if there are products that are safe and effective, we should help drive those. I can't tell you exactly what the next one will be. But I do know if you think about, first of all, our derm category, many of those are natural products to switch. They're not billion dollar categories, but they're natural products that are safe, effective, could be self-prescribed, could be over the counter. The probably one that won't be immediate, but there's certainly some partnerships out there looking at Cialis from the erectile dysfunction categories. And doing those, will those come over by themselves? Will there have to be a pharmacist saying, hey, do you have a heart condition? Okay. You can take this. Who knows what intervention there will be? But I believe that those kind of categories that are pretty expensive categories on the RX side will continue to switch. Migraine, another one. We have certain migraine products over the counter now, but certainly switching some of those are also kind of key ones. But probably the biggest that I go a little bit back and forth on, to be honest, is the statins. I think they belong over the counter. I think some kind of pharmacy intervention could make them out over the counter, almost like a third class, do that to help. But that certainly has been tried; not quite there, yet. But I think even those will evolve that way if you look over the next three or four years at big categories that could have an impact at a consumer choice level. Thank you.
Operator: We have reached the allotted time for questions. I would now like to turn the floor back over to management for any further or closing remarks.
John T. Hendrickson - Perrigo Co. Plc: I really appreciate everyone joining us this morning. Again, I'm proud of the team, what they delivered, how they focused on not only results for the quarter, but driving each of our business segments to good profitability, good levels. I'm excited to be able to raise our guidance and share some of that good results with the rest of you. So thank you for your time.
Operator: Thank you. This does conclude today's conference call. You may now disconnect.